Stephan Shakespeare: Thank you very much, and hello, everybody, and thank you for coming online. We've got myself and Sunny and Alex, and we're happy to bring you today some pretty good numbers. I think the overall story here is that these are good numbers in a year, which has obviously been highly disrupted and full of surprises and the fact that the numbers are so strong are the -- show a testimony to the fact that we have a very robust business, a flexible business, a business that is adaptable and already had adapted to the kind of market that we are serving. And that the desire for what we produce is strong as ever, and we are responding to those market changes well. I think that's the overall -- I don't really want to go through the details of these numbers. You will hear a lot more about them from Alex, but revenue growth of 12%; adjusted profit, up 18%; earnings per share at 21%. These are great numbers in any year, but in the year that we've had, obviously, particularly strong. Switching to the next slide, the margin expansion. We see a continuing, although a much smaller increase in margin. But I'm pleased to say that there is still an increase in margin, even in a year in which we are investing fairly heavily. And I'll show you some of the things that we are investing in, in a moment. The drive here has been to keep increasing revenues while also increasing the margin, although the first 2 years of our sort of final 4 of the plan that you're all well aware of, have in them, the first 2 years being significant investment years. And there you see how we are progressing there. Going to the operational slide. We are showing strong, profitable growth and rising shareholder returns continuing in this period. Our particular areas of strength were the U.S. and the U.K., which are our biggest markets, and they are continuing to grow fast. We've established key -- global key account management to be better at sales. You'll hear more about that in a minute, but we've introduced a whole new layer of sales management, making us more client-centric, and especially focused in our key markets. We've invested in the business in building a platform for future growth. Now we've entitled this presentation, Growing the YouGov Platform, and it will be a theme both a little bit now and a little bit later on that we are building a platform, not just a series of products. We are building a platform of things that connect, things that are driven by technology, things that are relevant throughout the flow of the work of a marketer. And I'm going to try and show you that this is a true platform, not just bits of data. We've been broadening our geographic footprint in 4 new countries, and there are many more countries coming online. So they're seeing a significant growth in panel reach. We've launched several new products that capitalize on client needs for data analytics, which remained undimmed. Nobody has a smaller need for data, but of course, some people can't afford it in the recessionary period that we're in. But the need for that data is strong, and it has increased our market in some ways. Because there were -- we've brought people in that we didn't have before through our COVID monitor, which was -- showed how quickly we can adapt our systems and as well, new products like bringing greater depth and range to our Cube data and customizing it and allowing it to be valuable to big global companies, which is why also we're needing to grow those panels. We've gone to -- from everybody doing the work on their own patch to having Centres of Excellence, which are central data services that stream operational activities and are taking us to a 24/7 delivery possibility. And we've launched a new platform for participation, YouGov Chat, which enables us to be more efficient in growing panels to bring more people into the participation process with YouGov and to provide a different way that people can participate and add their views. And that's built on top of YouGov Direct, which you'll hear a bit more about as well. Above all, looking at the COVID situation, we've had full continuity of service during the COVID-19 lockdowns. There has been no material impact, by which we mean there's no overall negative impact, obviously, in particular markets. And you'll hear a little bit about that. I mean in, for example, in the retail sector, we've had some weakness or delay, but that's matched by new areas of growth for us, the health sector being one of them. And overall, we've seen our business grow and our range grow and our resilience grow through this difficult period. So getting into the detail of the numbers, I hand you over to our CFO, Alex McIntosh.
Alex McIntosh: Thank you, Stephan, and good morning, everybody. Just moving first to revenue performance by division, I'm just picking up on some of the numbers that Stephan has already provided to you. I'm very pleased to report group revenue growing by 12% year-on-year. Just going into the detailed data products to remind you that our flagship products, BrandIndex and Profiles, these are our proprietary IP products, which we have developed. The Data Products division remains the standout division for double-digit growth, continuing the trend that we've seen for many, many years as clients continue to value the Plan and Track proposition. As Stephan mentioned, the fact that we have continuously collected data through this period has been well received by existing and new clients. Custom Research saw strong growth of 8% on the year. I just want to pull out one point on -- we had a planned closure of operations in Kurdistan, which was a very large, sort of long-standing project, which we had anticipated closing in FY '21. It closed slightly earlier. If we adjust for the impact of Kurdistan coming out of the underlying growth in custom, revenue-wise, it was 13%. You will have, over the last few years, heard from us that our custom division has very much been one of margin management. Over the last 2 reporting cycles, we've increasingly talked about custom aligned to the Cube. And really on strategy, repetitive sort of large-scale quantitative studies could be a large sort of contributor to growth. And we're very pleased to see so the clients starting to buy into that, and had a fantastic result from our custom department. Data Services, a little bit more subdued compared to the other 2 divisions. Year-on-year comparison, slightly hampered by some nonrecurring work that we did in the FY '19 year that didn't repeat into FY '22 with elections. And as we mentioned at half 1 FY '20 results, slightly difficult trading environment in the Nordics and Germany. I just want to echo Stephan's point he just made. We have seen some slight weakness in some of our clients. But I think in many respects, we've seen a change in the mix of clients and sectors we're selling into. So while some of our tech lines and retail sector, for example, have been finding trading slightly difficult, we've seen an increase in opportunities in sectors such as technology, government and new sectors, such as e-sports and health and pharma, where we are establishing new clients in this space. Just moving on to revenue by geography. The U.K. and U.S. continue to be our largest markets and so the key drivers for growth. In an underlying sort of basis, U.K. growing by 15%. America is growing by 13%, fantastic results for us in the wider context of the market research industry, where we continue to see ourselves taking share. And you'll see Mainland Europe -- well, just point out on Data Services. That Mainland Europe slightly down or slightly subdued because of Data Services and custom, having a little bit of a difficult trading environment. I would make the point, the custom team in Mainland Europe, whilst revenue's slightly subdued, have had a very strong sales performance for the year. We will see them performing quite well into FY '21. To make the point on the Middle East, which, obviously includes, our Kurdistan revenue, if you strip out, Middle East growing sort of very well at 20% on an underlying basis once you account for Kurdistan. And Asia continues to deliver good growth for us as well. And moving on to adjusted operating profit by division and geography. On the right-hand side, you'll see the bulk of our profits continue, generated by U.K. and U.S., in many respects driven by that sort of large custom department there, delivering a sort of significant margin and also a significant base for our Data Products division. You'll see in the margin table on the left-hand side, overall, on the group level, pleased to see improving margins. This has been an investment year, and I'll talk in a little bit about where we have put some money. But overall, sort of a good sort of performance year-on-year from the group. Moving to the balance sheet. We make the point from the outset that we continue to have a strong financial position. We have no debt. We continue to hold significant cash balances. Debtor days have increased ever so slightly in the year from 47 to 48 days. We have not seen any material challenges from the collecting cash from clients, which is pleasing. And we continue to work closely with our clients to support them where we can. I just want to pull out one point here on an impairment charge you'll see in our statutory operating profit, that we are down year-on-year. That is in part due to a noncash reported items charge, which includes an impairment on the Nordic business. So going back to my points on some subdued performance in the region as well as on the posted P&L in the separately reported items line, you'll also see some acquisition-related sort of charges. So we end the year in a good position, cash balance of GBP 35.3 million. Moving on to cash flow, a good year of cash generation. Just looking at the percentage of the ratio of cash generation, just to make the point. FY '18 and '19 was a little bit of an exceptional year where we were spending a lot of time cleaning up, particularly in the U.K. but a conversion ratio of 104% is very good. The -- you'll see in the right-hand table at the bottom, capital expenditure. We've increased investment in sort of 2 key areas around panel recruitment where we have augmented our -- particularly our U.K. and our U.S. panels in preparation for elections. The U.K. election has already happened, but we are preparing for a U.S. election where we are investing in panel for the purposes of running our MRP models. And we've also been augmenting the international panels, which includes building new panels in Australia, Switzerland, Brazil and Turkey, and Sunny will talk more about that in a minute. And we've also increased our investment in technology in a few key areas, Crunch continues to be a fantastic enabler for our data and clients are -- received great value out of using it as an analytics platform. We've also invested in some key areas around panel interactivity, where we've launched some new websites with interactivity for panels and interactivity for panelists rather and interactivity for general public. If you go to www.yougov.com or .co.uk you'll see an interactive MRP model. So very much in the spirit of increasing interactivity around our data. And we've also been investing in some of the start-ups that we had acquired in FY '17 and '18, where we're looking at the Chat model and social media data to capture a different type of engagement and different types of data collection methodologies. So overall, just to reiterate the point, finishing the year in a very strong cash position. And you will note in the release, we've announced an increase in the dividend for the year up to 5p. And with that, I will hand over to Sunny.
Sundip Chahal: Thank you very much, Alex. Hi, guys. This is Sunny Chahal, Chief Operating Officer. I'm going to take you quickly through the operational update, some of which Alex has touched on. And I'm going to do a little bit of a drill down as we go through each of the business lines. So starting with YouGov Data products. So the Data Products division is comprised of our syndicated data products, available to clients on a subscription basis. It includes our flagship product, YouGov BrandIndex. Those of you who've been with us for a while will recall it's our daily brand tracking and monitoring service; and also, YouGov Profiles, which is an in-depth segmentation and profiling tool. Often they're bundled together and sold together under the YouGov Plan and Track proposition. Pleasingly, there's been a strong top line performance across all geographies. You can see from the chart on the right, you see a growth period of 24% and also a margin improvement there to 35%, as you can see in the line. What's also very pleasing is, obviously, given the changing consumer environment, this data has been always on. Now that's obviously something that some of our competitors who collect data through more traditional methods have not been able to do over the last 6 months or so. Pleasingly, YouGov Sports also developed a very strong performance despite some COVID headwinds impacting the sports sector for obvious reasons in the second half. And then continued expansion is, as I alluded to earlier, driven really due to our digital model for data collection and delivery of these products. On to Data Services. So Alex has actually explained a little bit about some of the impact that we're seeing on the margin. But this Data Services division includes our market-leading use of Omnibus. The Omnibus, for those of you that aren't aware, is essentially a service, which enables our clients to get data back or results back from the actual website that did the survey often on the same day, often the next day, depending on the market. But it means that most of our clients can actually act on this data relatively quickly. We focused heavily on the U.S. and further expansion has helped the division increase its revenue base. Traditionally, we were very strong in the U.K. We see the growth in the period at 2%. Some of this has actually been moderated due to some nonrecurring election work in Asia and also a sluggish performance in Europe, which Alex has explained earlier. We see the margin being impacted there. Some of this is due to the previously disclosed effect of transferring that lower-margin custom work from the Nordic custom team into Data Services. There's also an increase in central allocation costs and also a slowing in some of the revenues, which has led to a lower operational leverage. So what we're seeing overall here is underlying growth slowdown in recent years and also a slight rise in the investment costs. You have Custom Research, which is the third division. Here, we have a mixture of research methodologies really mainly quantitative, includes substantial global trackers. And the research is aligned to sector specialisms, and it's also tailored to meet the clients' needs. And increasingly, we're aligning it to the Cube, which is our proprietary data platform. So performance in previous years, so in this division in previous years has been impacted by actually taking away that labor-intensive, low-margin traditional custom work, which, although high in revenue was very low in margin. So we've been actually deliberately cutting that out of the business. The U.S. and the U.K. actually saw very strong growth in the year. But the actual top line has also been impacted by the work in Kurdistan coming to an end, which has also impacted the margin for the year. Excluding Kurdistan, revenue growth for the financial year would have been 13%. The Kurdistan closure has also resulted in an increase in cost allocations, which has also impacted the margin. So the margin has actually gone down 22 -- to 20%. Without the closure of the Kurdistan business, we would have seen margin remaining constant and ever so slightly up actually in the year. Moving on to investment in technology, products and platform. So obviously, we're not standing still. We continue to invest in our proprietary technology, which includes our analytics software, YouGov Crunch. We're developing new brands and Net Promoter Score trackers, such as YouGov Recommend+, which rely on our connected research data systems and the Cube that underpins everything that we do. We've launched new widgets in the year. So those of you who are online actually can go online and can have a play around with the YouGov Audience Explorer, that enables -- the free version enables you to eventually have a portrait of your audience. And enables our clients to build a deck-ready portrait of their audiences. We've launched new products in the year. Stephan has mentioned the new YouGov COVID monitor, also YouGov DestinationIndex. The COVID monitor has actually led to further developments in the health care sector. And we are actually going to market with a new offer there, which we think -- which will be very strong. We're also continuing to improve the experience for our customers, the panelists and the public, so a lot of investments in all of the websites, apps, tools, et cetera. So the app is available on the YouGov play store -- sorry, the Apple Store, average rating of 4.5 and also 4 million downloads. And that's been developed by our team out in Warsaw. We continue to invest also in YouGov Direct as well, which Stephan will talk about in detail later on. Alex mentioned investment in the panel. Of course, we're not standing still. We continue to invest in the panel, increases both our capabilities, increases our capabilities in existing markets, makes our data deeper and richer, but also expand our reach to new markets. We've established new panels in 4 markets in the past year: so Austria, Brazil, Switzerland and Turkey. Increasingly, our clients are coming to us because they also -- they value the quality of our data panels, but also understand that the quality of data if you can control and then use one supplier, the quality of data of YouGov is richer. So increasingly, our clients are coming to us and insisting on us using only YouGov panels. We now have over 11.5 million panelists registered worldwide, which is a strong increase of over 1/3 on the prior year, so 37%. We're also adding a new channel for participation, which is YouGov Chat, which is borne out of our previous acquisition of Inconvo, which will significantly improve our recruitment options. We're continuing to invest in global infrastructure. So we are enhancing our scalability and streamlining our operational activity. You will know that we believe then and have underpinned our performance over this one by these Centres of Excellence. So we have just recently opened a new Centre of Excellence in Bangalore. So that's our second CenX in India, bringing the total up to 5. Over the past 5 years, the model has meant that we've actually reduced our spend on data operations overhead as a percentage of global revenue, down from 4%, down to 2%, and we continue to optimize that. We're also ensuring that in part due to, obviously, the circumstances we all find ourselves in. But nonetheless, given our footprint across the world, that we've cultivated a presence whereby clients can be serviced without the need for employees in every single country. And that's something that I think we have absolutely embraced, and our clients have embraced as well. Our remote and agile working practices are well established. And we feel as if we are very fit-for-purpose right now and well prepared for what lays ahead. Invested in this 5-year plan, we're also continuing to focus on our sales organization and key global accounts. We have started a key global account management program in both the U.S. and the U.K. So we've invested significantly in senior resource to drive that program, and we have over 25 clients -- key client accounts identified in the U.S. and 40 in the U.K. And the focus here is on cultivating those significant client accounts, cross-selling and upselling opportunity. We're also ensuring that the sales unit across geographies, across divisions are working much more closely together, and working much more closely with marketing, with greater planning and metrics. Also, we are pleased that our new digital sales platform will be ready for launch by the end of H1 2021. Obviously, any questions we can take up later in the Q&A. Stephan, over to you for the strategic updates, please.
Stephan Shakespeare: Thank you, Sunny. We -- you're well familiar with our strategy. We have 3 pillars to that strategy: Data Integration, Public Data and Ethical Activation. Data integration for us means, and I've already alluded to this, to not be seeing our activities as a series of discrete packages of data that we layer -- indeed layers of data that we supply to people, but as a continuous flow, and a connected data source that you can attach new data to and, therefore, customized syndicated trackers and so forth. Everything nowadays is about data integration of some kind. Because we have a single source for all of our data, which is our panel, and because most of our panel gives us a lot of information about themselves, I mean, thousands of pieces of data that overlap, we can see the world in terms of our panel in a connected way. You can ask -- if we ask somebody about their current state of health, and at the same time, already know what -- all about their lifestyle, all about their consumer habits and indeed about their plans for the future. That's the strength of our system. And over the years, we've obviously had separate bits of data, separate layers of data. And these are all coming together now. We have the Cube, which has been for many years now our centerpiece. We've -- in the past, when we added Custom Research, we didn't build that on the Cube, but that was a separate piece. Now our customers can benefit by adding their own custom research to the underlying data for those panelists and get more value out of them. We further developed Crunch to be able to read across different kinds of data and to combine them and to look at them in different ways. And we've launched self-service functions for YouGov Direct, which are in a very -- it's a first stage. It's an initial stage, but people are able to come in and actually interrogate the data and to create new things with the data, new research. Some of that can be done without even talking to us, but with a credit card and a dashboard. So that Data Integration piece is something that's going to continue. There are more things being added, but we've gone a substantial way into bringing everything together. The second piece is Public Data. Everybody is aware of how much of our data is in the media, and it's important to us for all sorts of reasons. It's important to us because it brings people into contact with our data, into contact with YouGov. Clients can see our data in the public realm and then want more and go on to buy the products. The public knows who we are in many places. And that means that when we try to recruit for a panel, we have certain advantages. Above all, there's an ethical, important ethical piece to this that we rely heavily on lots of people giving us lots of data. And that means we want them to get the benefits of that data, too. The ultimate aim -- and we're actually pretty close to it, is that the top line version of all of our data is available to the public in some way and is being made increasingly valuable. So products like ratings, which have new categories added to them or allow people to see what other people think of musicians, products, brands. And that's important because it gives, as I say, feedback to them about the things that they contribute. And it also leads people into the product, and it means that all the value that's created by the panel goes back to the public in some way as well. We've launched YouGov America, which is a very election-focused site so that we can -- instead of trying to do lots of things with our site, we have a couple of different sites, one then being very heavily focused on politics when all eyes are on the politics, as they are for us in the U.S. at the moment. In the U.S., in fact, we are one of the biggest players now in public data. We are widely quoted. We work with CBS, with Yahoo!, with The Economist. And the latest addition to our partners is The Daily Show, a very popular show amongst young people in America. We're doing special studies with them, that they take -- have a humorous take on. It's very important for us getting to increase our brand in America as well. Finally, the third pillar of this is Ethical Activation. So this is the bit about creating a platform. It's not just that we provide data. You can make -- you can do things with data that you couldn't do before. We've, as I say, have launched the early release of YouGov Direct as a self-service tool, but it isn't self-service just in the quick and dirty and simple form. It actually gives you the ability to create complicated samples from our data and to do interesting things with the people on the panel. Because under YouGov Direct, you can test things in real-life settings in a way that goes beyond research. I'll show you a little bit more about that in a second. And we are working on a new passive data streaming product that will also be launched soon. We'll be focusing a lot on this in detail in about a month's time towards, what, about 6 weeks' time towards the end of November. You'll all be invited to a webinar in which we reveal the next stage of this platform. Two quick slides on that. I won't dwell on them much. You know a lot about this, and they're here for you to look at and prepare for the bigger webinar in 6 weeks. But what YouGov Direct does is it uses a strong, very transparent system for where people can permission their data and decide what data to make available for sale. And how it records all those permissions in a transparent blockchain. That's not there for -- that's not the speculative side of blockchain stuff, which we heard about and talked a lot about a few years ago. This is the actual infrastructure of transparent permissioning and transparent records that allows us to do different things. It allows us not only to -- for people to access the data to do research, but to actually deliver marketing, to serve ads and tasks directly to consumers who permission their data for targeting. And it means that instead of saying this, would you buy something, you can actually offer something for sale in this context and, therefore, see in real life do people get affected by the marketing value offer that you're offering or not. And it is a very, very precise, targeted audience system. It offers quick turnaround research. It's cost effective. It allows you to monitor real business outcomes. And as I say, it allows you to do real marketing tasks in a way that's totally compliant with GDPR, using permission data. Going to the next slide, how it works. Members of YouGov Direct download an app or register via the web. They then fill in their profiles. They consent to the use of that data and then they receive notifications, which could be a simple task, like a survey or they could be looking at a trailer and afterwards, invited to have their name to a list to see that, to see the movie when it comes out, some kind of call to action that allows the people running this to know whether people really like this or they're just interested but not -- wouldn't actually take that next step. As I say, breaks the wall between pure research and activation, that is to say, direct marketing. Clients, on the other hand, come at it from another side. They never see the people that they're reaching out to. Those people are completely protected from view, but they see what's available, who's available by demographic. And they can create samples and tasks and ads and surveys and have the results come in pretty much immediately in real, well, in real time. They are immediate. And of course, they can close it within hours and get very quick results. But results with a very high quality, very much data rich. Okay. We are going to say more about this. We've got some new pieces to that coming, and we were going to have -- I think we said at the last investor road show that we -- that we would be, at the end of the year, saying more about this new product. We are going to do that at the end of November. It was going to be earlier, but we decided to leave that until after this -- after this road show. So you will hear about it. We will let you know. Every company now is looking at ESG. The difference between YouGov and I think many other companies is that our social mission is core to our product. The whole purpose of YouGov is to connect people to make institutions and organizations understand the people they serve and to help them do that better. We are also in that process, giving a voice to every part of the community. In the recent public, very public conversations about -- around the Black Lives Matter movement, we were able to do a very sensitive and in-depth study of the experience of people of ethic minorities in U.K. society, which got a huge spread in the Financial Times and was regarded as a really important piece of work. And that's something that we do just because we think we should do it. It's something we are better able to do than anybody else because of our panel, and we devoted a lot of resource to public data because that's what we're about. We're about people understanding other people. And we do believe that ESG is best a lived thing that is part of the very work that you do. So on the environmental side, we are doing all the things, I think, that we ought to be doing. We can always do more and we -- but we are a digital business. So it has been easy for us, for example, to adapt to the COVID situation and further reduce our environmental footprint as well. On the social side, I've mentioned some of our research. Also, we have encouraged the growth of a diversity, equity and inclusion task force. We also do a lot to support academic clients and health organizations. A lot of our health data was given away for free to academic institutions. And of course, we make large investments in our Public Data, which I've already talked about. Our governance as well is something that is especially important to us because of data transparency, because of privacy. It is -- the world is obviously changing. We think it's changing much for the better with the advent of GDPR. It's a regulation that we not only comply with. We completely support the idea of it. In fact, we really embrace the mission of GDPR. YouGov Direct is all about that privacy being used. The privacy laws and the privacy rules and the infrastructure that we're building is there to make it easier for people to control their own data. And as I say, new things coming along in that area as well. So we believe that ESG is -- and social impact, positive social impact is core to the business. It's not an add-on. It's something that's in the nature of what we do. Looking forward, I would just like to -- this is a new slide. We thought we'd look at the whole year, the 20 years of YouGov, and remind ourselves -- because it's our 20-year anniversary this year. And we thought we'd look at it in the whole -- as a whole. You can see what happened to us. We had a great first 7 years, then we hit a sticky patch where at the same time as -- as everybody was suffering from recession, we also had just bought a number of companies and not done such a great job at integrating them. In fact, did a pretty poor job at integrating them, and we had that terrible decline as you saw there. But since then, everything has been very positive, and we've driven ourselves very hard and learned from our mistakes. And we had that 5-year plan, which yielded I think, extremely good value, so extremely good for employees as well because to be inside a growing and stronger company is a positive. And we are maintaining that ambition and going forward into an even more ambitious phase. That's the next slide, our long-term growth targets. We call it the double double. I'll be looking to double group revenue and to double profit margin. And the test will be whether we can adjust -- we're looking to bring adjusted earnings per share in excess of compound 30% over the period. We believe our progress this year shows that we can, shows we've -- it's a year of demonstrating our operational resilience, demonstrating that our innovations are suited to this time, and that our ambitious targets, therefore, are things that we can meet, will meet as we have set out. We're very, very much incentivized to do that. And we have new things coming along over the next few months that we think will help us get there and that we'll show you as early as we possibly can. So finally, our current trading and outlook. Our current year has started in line with the Board's expectations: strong balance sheet, continuing to see growing demand for our products, continuing to be resilient, delivering revenue and profit growth. We remain confident of meeting those long-term targets. As we've said, no material impact from the COVID-19 pandemic, but we are not taking anything for granted. We've had extensive measures, of course, to ensure the safety of our employees, who've worked incredibly well and hard and effectively and adaptively through this period. And we thank them again for their incredible contribution through this very, very difficult time. We've had no employees furloughed, and we haven't needed government support. So that's, again, a positive. And we've -- but we also know that it's a difficult market, it's unpredictable. We don't know what can -- what's coming around the corner, and so we have prudent contingency planning. We have cost reviews. We've invested, yes, in the strategic areas, and we have cash reserves. But we've also been careful to curtail anything that's speculative or unnecessary and realize that although we are very confident in ourselves, we cannot know the future, and we cannot predict what's yet to come to hit us or not. So we are confident, but we are also very realistic. Thank you very much, and we're ready for questions.
Operator: [Operator Instructions] Your first telephone question today is from Steve Liechti from Numis.
Steven Craig Liechti: I've got 3, please. First of all, can you just give us a bit more color on custom, specifically how much is now of that business, the big multi-territory studies relative to the old projects basis? And I guess I'm really asking how much is left in terms of drag from those lower-margin businesses. Second question is just about unallocated cost, which has gone -- which is certainly lower than I expected in my modeling. Can you talk about what you're doing at the central level, maybe whether you cut costs in C-19? Or have you been reallocating some of that costs to the individual verticals? Because you do refer to that a bit in your commentary. And third, just any steer on CapEx going forward from here. Obviously, very high in terms of investment in the platform and panels. Just any feel for the next couple of years, the profile of that CapEx spend.
Stephan Shakespeare: I'll come quickly -- I'll come in quickly on that, Steve, on 2 points, and then I think it's mainly a question for Alex. Just to say that we are a long way to getting custom in the right place. We're very pleased with how it's developed. And the job of this year is to move remaining small-piece work onto the Collaborate and Direct platforms. So we think that those kinds of pieces now to be served by self-service or by low-service Collaborate platform. And there's further to go, but we've done well on that. And I'll come back with a further comment, but I think Alex should give you the technical stuff on the numbers.
Alex McIntosh: Yes. Just going -- starting with custom. Still a way to go on really developing the multinational. It's still a relatively small proportion. But I think the first thing to focus in on is committed tracking work, which has been a big driver for us now. So about 40% of the custom business is now in what we describe as that tracking where you've got clients that are committing to the medium term to long term to running sort of repeatable studies where, obviously, we get a lot of efficiency from that process. A lot of those tracking pieces are the combination of doing that in-country and across countries. We'd like to see that developing even more so with the key account management, account management teams that are developing where we are coordinating more closely as a group at a global level to support those clients. The FY '20 was a year of establishing that team. We've made some good progress, but there's a lot more room for us to grow that part of the business. Question on the unallocated costs. Yes, what we are doing is reallocating more to the verticals. I can give you a reconciliation afterwards. There's 2 things that are happening: yes to the verticals, but increasingly, we are operating like a global team. And so you'll see something like Data Products, for example, we'll have people in that team from a somewhat support functions, such as marketing and sales, are aligned to the division but spread across the world. So when you're looking at sort of which access you're looking at, whether it's the division or whether it's country, you get a slightly different number based on where those individuals are. Again, I can take that off-line with you. Just on the CapEx part, 2 things: Just on panel, we would expect to see panel -- the investment in panel sustaining into FY '21. We are accelerating -- can you still hear me?
Stephan Shakespeare: I can hear you, yes.
Alex McIntosh: Just on panel, there's a few key areas that we need to fill up the map, so to speak. And Sunny picked up on this. We'd like to add more panel capability in Europe, which will allow us to sell more pan-European work for organizations in-country -- sorry, in the region. We're also looking at sort of building out sort of more presence, which has already started in Latin America. We'll talk a little bit more about this if we have time, where we're looking at rebalancing how we actually recruit panels. And Stephan has been leading the charge on new forms of panel engagement that give us very large-scale engagement using chat channels. So for now, we're assuming the CapEx will continue as is. But I would expect to see the shift in spend to different types of channels, particularly Chat, where the cost per acquisition is lower. On the technology side, I think we've been pretty clear, technology is the enabler to this data. There's a -- we are aggressively trying to push forward on our road map and so I think you should expect to see technology continuing into FY '21, increasing on FY '20. I think sort of broadly as a guide, we've tried to increase in line with the sales, as Stephan has mentioned, on quite a number of initiatives that we're now working on to really move into that platform play.
Operator: Next question is from the line of Fiona Orford-Williams from Edison Group.
Fiona Orford-Williams: I can do 3 as well. First of all, in terms of Data Services, which is looking less robust than the others, what do you need to do to get the margin to start picking up there? Is it just removing the drags? Or is there more to push behind that? Second question, just sort which one I'm going to say, is can you explain a bit more about the alignment of the sales with the marketing effort. And what the digital sales platform that you've got planned will help you to do? And the third one I would choose, just a bit of clarification on this business of having the chat and the social media monitoring. Is that panelists? Or is that as a recruitment tool? And so is the data you're pulling on that, is that going into Cube?
Sundip Chahal: It's Sunny here. So I'll start on it. So I'll start off and then the guys can obviously jump in with any additions. So I'll start on Data Services. So the question is, it's less robust and what can we do essentially to ensure we put it back on track. So there's a couple of things that are going on here, so as I think we also mentioned in the half year as well. So some of this is also due to the absorption of the Nordic lower-margin data services business essentially. It was bagged as custom, but really at it's heart, it was Data Services. So what we're trying to do there is we're actually saying, okay, we've put this in the right place even though it's causing a drag on margins, and we have to make sure that we start closing this efficiently as per our model. So that's one thing that should really help alleviate the margin drag that we're seeing due to absorbing that. The second thing is actually increased sales effort as well. So as we've started on this new set, what we used to have before is we used to have sales teams that were allocated to the division, right, so Data Services-type guys, et cetera, et cetera, et cetera. What we're doing now is essentially when we're going out to market, we're selling across the whole piece. So this is also tied into our account management program as well. So we believe there's huge opportunity. We still don't think, for example, in the U.K., which is our largest market for Omnibus, that every single client that could possibly buy Omnibus bought Omnibus from us. So Although it's a big division for us and its been a jewel, it's -- we still think there's headroom for that division in the U.K., and it's really a case of getting our sales machine whirring behind something, which has really traditionally almost relied on working through it all. It's benefited a lot from the brand in the U.K. So I think a more concerted sales effort there will really help us with that. And then when we look at the U.S. as well, U.S. is scratching the surface when it comes to Data Services. So in terms of revenue growth there, there's huge potential there. Now underpinning all of that is an efficiency in the operating model. So as we've started and using CenX to underpin the operational growth and the back office growth, we're also actually using the CenXs now for the front-of-house business. So has been another part of business that should benefit from increased efficiency. So hopefully, this is just a short-term transition. And also, as we've said before, it's always also the investment, et cetera, et cetera. But we should seeing hopefully margin improve. So we're mindful of where it needs to improve, and we're mindful that we are doing the necessary things. I'm just going to pick up on the question around sales as well. I think that was the second question. How is sales and marketing essentially working more in tandem, right. So what we've actually brought in, and it is -- we have a guy who's just come in essentially who's our chief marketing officer -- so head of global marketing rather, sorry. What we're doing is we're actually aligning the effort in marketing much more closely to our sectors and our sector expertise, and there's actually 15 sectors. Also then tying that back in with our key account management program, tying that back in with the brands that we monitor. It's just more tightly aligned essentially. So when we're targeting sectors, we have the data and we have the people in those sectors to capitalize, if you will, on that output and that exposure. Yes, fairly obvious things perhaps in a way. But as we've obviously grown in the U.S., we're now at a stage where we think we can maximize that opportunity. And on Chat, Stephan, do you want to take it or shall I?
Stephan Shakespeare: Sure. I've been very involved on the Chat side, experimenting with this. It is a very, very smooth route into YouGov. And that's a much lower cost, which is why it's going to, I think, be significant for our panel extension on topics that -- the other means that we have. The data that we collect from there at the moment goes into Direct, and that is going to be integrated with the Cube. It's important to say that the real advantage of this system, of Chat, is to build mass audiences for niche profile targeting based on based on profiling data. So what's most important about the data we collect there is its profiling data rather than opinion data. It's not that you can't put them back into the system because you can. We can put a link inside the chat that takes them into a Cube-attached survey. But that's not really its value. It's real value is to get very large numbers of people to be within reach of YouGov and to bring them in for particular panel purposes as needed and to do the others -- and to do some of the new stuff that I'll be revealing in a little while, in a few weeks on activation.
Operator: The last call for today is from the line of Sean Thapar from Berenberg.
Sean Thapar: Can you hear me okay?
Stephan Shakespeare: I can.
Sean Thapar: One question just on kind of client budgets for next year, and then a kind of two-part question just on kind of sales and client engagement. So the first question is, just what visibility do you have on kind of client budget over the next year? I know you have quite a strong tech weighting. So is that kind of sector continuing to increase research spending? I guess how will that compare to the other major kind of contributors across the business? And then just on sales engagement, kind of two-part question here. Firstly, just wondering with this global key account management, at what level are the sales guys engaged there? Is it still very much you're selling to kind of project teams within a marketing department? Or are you getting more traction with kind of CMO levels as the platform kind of develops? And related to that, what is the kind of sense of kind of market adoption of online-only as a primary form of market research? I think we would kind of analogize it that, that would be a kind of key beneficiary of post-COVID. So is there any kind of recognition that the clients there are kind of more squarely focused on online-only market research as a primary form?
Alex McIntosh: Shall I pick up the first one on client budget?
Stephan Shakespeare: Sure.
Alex McIntosh: The biggest sector that we sell into is the technology sector, and it is primarily consumer-facing technology companies that are our client who -- as you know, Sean, since follow the sector, this has been an area of -- a time of expansion for those technology clients. So we see them sort of continuing to sort of make positive noises. There's sort of strong pipeline coming from them. There's a lot of discussions around future projects. So I think where we have naturally aligned to historically, those sectors will continue to grow. Where we're starting to see -- so I'm about -- just picking up on your online-only, we're starting to see some conversations from sort of a wider range of clients from different sectors in looking at sort of shifting to online if they were doing off-line work before. We're also seeing -- alluding to some of the points you'd made previously, in sectors like health and e-gaming, where we've had little penetration, growing pretty rapidly. A little bit difficult to give you sort of a sense of scale because it's all coming up relatively low basis compared to how big these research markets are. We're seeing anecdote in the -- to the clients looking at shifting methodology and spending online for sort of very fast turnaround, sort of deep sort of detailed type of work. Sunny, do you want to pick up on the sales question on engagements?
Sundip Chahal: Yes, sure. So it's actually mixed special. So it really depends on which division or sector we're talking about. So sports, for example, where effectively we had a key account management program running there ever since we acquired that company. Sports, by it's very nature, involves the CMO and often the CEO. They're so close to that spend and that budget that actually we're having conversations right at the top level. Now actually, that's also great for us in terms of our exposure to that business. So sports has actually been very useful for us to almost be a gateway to an organization. And then it really depends on which sector we're talking about when it comes to the others. As you can imagine, something like technology, we have clients that are, yes, some of the biggest companies in the world. And we aren't necessarily dealing directly with what we say is the CEO or even the CMO, but we are speaking with people who are at a very senior level within the organization. And that's really where we see the value of our [ cams ] in the U.S. engaging with people who may be with the organization since -- as it's grown or are essentially sitting on top of very large budgets. And of course, then there are clients as well, which we may have identified as key accounts because we believe there's huge opportunity for growth and development. But we don't have the relationship where we wanted to be, hence, the requirement for that to be actively managed. Does that answer your question, Sean?
Sean Thapar: Yes. Perfect.
Stephan Shakespeare: All right. So that, I think, concludes. I'd like to thank you very much for your participation. And that we'll see you at the webinar that we are planning towards the end of November. Thank you.
Alex McIntosh: Thank you.
Sundip Chahal: Thanks very much, guys.